Operator: Ladies and gentlemen, thank you for standing by, and welcome to Q3 2021 ExlService Holdings, Inc. Earnings Conference Call. [Operator Instructions] I would like to turn the conference over to your host, Mr. Steven Barlow. Please go ahead, sir.
Steve Barlow: Thank you. Grace. Good morning, and thanks everyone for joining EXLs third quarter 2021 financial results conference call. I'm Steve Barlow, EXL's Vice President of Investor Relations. With me today in our offices in New York are Rohit Kapoor, our Vice Chairman and Chief Executive Officer; and Maurizio Nicolelli, our Chief Financial Officer. We hope you've had an opportunity to review our Q3 2021 earnings release we issued this morning as well as the press release announcing a new $300 million share repurchase authorization. We've also updated our investor fact sheet in the Investor Relations section of EXLs website. As you know, some of the matters we'll discuss in this call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligation to update the information presented on this conference call. During our call today, we may reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliation of these measures to GAAP can be found in our press release as well as on the investor fact sheet. I'll now turn the call over to Rohit Kapoor, EXL's Chief Executive Officer.
Rohit Kapoor: Thank you, Steve. Good morning, everyone. Welcome to our third quarter of 2021 earnings call. I hope you and your families are safe and healthy. I'm delighted to report another outstanding quarter. EXL achieved better than expected results in the third quarter on revenue and adjusted EPS. Our Q3 revenue was $290.3 million, which represents a 5.8% sequential increase and 20.1% year-over-year increase both on a constant currency basis. Adjusted EPS for the quarter was a $1.30 per share. Our Analytics business reported revenue of $120.5 million growing 8.3% sequentially and 32.7% year-over-year. Consistent with the first half of the year, demand for analytics have increased significantly in the post-pandemic environment. We foresee continued healthy growth in analytics-driven by consistent demand for our expertise in data driven solutions. Our Operations Management business also achieved growth in this quarter, generating a $169.9 million in revenue, which is up 4.1% quarter-over-quarter and 12.6% year-over-year, driven primarily by higher revenues from our suite of insurance solutions and new wins in our emerging business. Our revenue growth this quarter has been broad-based. We have continued to win across all industry verticals with analytics and digital being our core differentiators. We see this trend continuing with a strong pipeline of large deals and surging demand for our digital solutions and analytics capabilities. We feel confident that we will maintain our strong position in the market by continuing to secure strategic wins. Going on straight, what we are seeing in the market, I would like to share some insights on a few of our recent engagements that showcase our unique strengths. Starting with our Analytics business, point-of-sale financing through Buy Now Pay Later solutions have become a rapidly growing segment in the banking and retail industries. The popularity of the format is due to how seamless and easy it is from the customer perspective. Real-time credit approvals at the point of purchase allows for a much smoother customer experience. This creates significant value for the customer, the bank or lending institution, and the merchant. On the merchant side by integrating a financing solutions directly into the purchase journey, we are able to drive higher conversion and higher order value. On the financing side, we are enabling banks to expand the share of wallet with existing customers, attract new customers, and create an efficient Merchant Services workflow. We developed and implemented a Buy Now Pay Later solution for First National Bank of Omaha, the largest privately held bank subsidiary in the United States. It is unique for two reasons - first it allows merchants to provide information about a customer in real time enabling an instantaneous credit decision with comprehensive credit analytics, pre-approvals, fraud prevention, no real customer support bridged directly into the process. Second, it is highly scalable. Working together with our partners the submission was developed as in the box capability that can be deployed rapidly across modules. In the case of First National Bank of Omaha, we built and launched the solution in a live retail environment in just four months. Given our deep client base and retail banking, we see good traction for this solution going forward. Similarly, our innovative digital solutions built on our proprietary AI:OS architecture are helping clients re-imagine traditional business functions. EXL partnered with a leading Australian insurer to proactively identify claims payment leakages and prevent regulatory breaches. Our AI powered smart audio solution has helped the insurer automate 100% of the claims reviews which have streamlined workflows and improve the odd accuracy of claims processing. Additionally, our powerful algorithms are now tracking data across the claims lifecycle to identify over 10 times more leakage than previous benchmarks. The smart audit solution is highly scalable. By making simple changes to our algorithms, we have been able to prevent the solution to also address audit of compliance issues within other industries. This expands our addressable market. For example, a major healthcare payer is using the solution to improve accuracy and compliance across 200 different alpha member communications in multiple languages. Additionally, a leading manufacturer of Electrical Components leveraged smart audit to identify 20% leakages within their vendor payments. We are also seeing strong demand for our Payment Integrity Solutions. Let us say it's evident in our recent contract with a top 10 national health plan. The engagement initially focuses on complex hospital audit services as deployed several components of our Payment Integrity solutions. With a strong alignment to our growth strategy, this multi-year event represent a significant step forward for our Payment Services business. The common theme across all of these examples is the extensive use of data analytics, AI and cloud. As our clients' needs have grown and evolved, we've doubled down on our analytics and digital focus to create solutions that address their biggest challenges, unlock opportunities for growth and drive efficiency. This trajectory has been central to our growth. In order to better communicate our focus on analytics and digital solutions, we launched our new brand platform in September. Anchored in the client value proposition, we make sense of data to drive your business forward. The new brand more accurately reflects the critical role we play in our clients' strategic growth agendas. It also emphasizes the critical role data plays in driving better decision making and more intelligent operations enabling companies to predict trends, deliver a hyper-personalized customer experiences and streamline workflows. With greater volumes of data and more focus on delivering real time insights and solutions making sense of data has become the most important baseline capabilities of businesses today. This is a noteworthy evolution of our business and positions us well in the marketplace. To realize our brand promise, we are making significant investments in advanced analytics AI based content extraction, conversational AI and cloud-based operations analytics. As we look to the future, we will continue to keep the health and safety of our employees and their families as our top priority. We have conducted vaccination for our employees across our geographies and have seen progress over the last quarter. Currently, 70% of our employees globally have received at least one dose of the vaccine. As vaccines become more readily available in geographies such as the Philippines and South Africa, we will continue to push ahead for greater vaccination rates amongst our workforce and enable a safer work environment. We have also built a future of work operating model, which focuses on maintaining our distributed workforce to maximize our resilience and deliver an optimal working environment for our employees. As we've seen over the past several months, the flexibility of a hybrid work from home model has been great for our employees and clients alike. As we have continued to grow and evolve as a company, we have made a very conscious effort to cultivate a strong bench of leaders who will help drive our business forward. I'm pleased to share that we have elevated two of our senior leaders to our executive committee. Ankor Rai, our Chief Digital Officer and Narashima Kini, leader of our emerging business are both now part of the leadership executive committee. Ankor joined EXL in 2006 as part of our acquisition of inductors and was co-head of analytics for several years. Kini is a 21-year veteran of EXL and has held numerous leadership roles since joining in 2001. I am confident that Ankor and Kini will play pivotal roles in achieving the promise of our new brand and meeting our growth aspirations. Going forward, our pipeline remains strong and our capabilities in the analytics and digital space are resonating well in the market. Similarly, within Operations Management, we continue to see a healthy pipeline of large deals with digital transformation agendas as more of our clients, make strategic pivots to becoming fully digital. In conclusion, 2021 is shaping up to be a great year for EXL. We have been able to grow our business across our verticals and form stronger partnerships with our clients. We have created unique solutions using data and analytics, AI and the cloud that saw the most [technical difficulty] problems. I'm confident in the resilience of our business model and extremely proud of the commitment and generosity of our people to support one another and our clients in a fast changing and complex business environment. I will now invite Maurizio Nicolelli to highlight our Q3 financial performance and 2021 guidance.
Maurizio Nicolelli: Thank you, Rohit, and thanks everyone for joining us this morning. I will provide insights into our financial performance for the third quarter of 2021 followed by our updated outlook for 2021. As Rohit mentioned, we had an outstanding quarter with revenue of 290.3 billion, up 20.5% year-over-year while adjusted earnings per share was a $1.30. All revenue growth numbers mentioned hereafter are on a constant currency basis. Revenue from our operation management business as defined by three reportable segments excluding Analytics was a 169.9 million, up 12.6% year-over-year sequentially from the second quarter revenue was up 4.1%. Our insurance segment generated revenue of $98 million up 11.3% year-over-year driven by expansion in existing client relationships and higher volumes. Compared to the second quarter of 2020, revenue was up 3.9%. The Insurance vertical consisting insurance, operations, management and analytics businesses grew 17% year-over-year. Healthcare reported revenue of 27.3 million, up 8.9% year-over-year driven by new client side in 2020 offset by lower volumes in clinical services due to a transitioning client. The Healthcare vertical consisting of healthcare operations management and analytics businesses grew 12.9% year-over-year. Emerging reported revenue of $44.5 million, up 18.2% year-over-year. This growth was driven by new client wins in 2021 and expansion in existing client relationships in banking and financial services, travel and transportation and utilities. Sequentially, emerging revenue grew 9.7%. The emerging vertical consisting of emerging operations management and analytics businesses grew 30.7% year-over-year. Analytics revenue totaled a $120.5 million, up 32.7% year-over-year. Analytics was 41, 5% of total revenue in the third quarter of 2021 compared to 37.5% in the third quarter of 2020. This growth was driven by higher volumes across all industry verticals with expansion in existing client relationships, particularly in the banking and financial services and new wins in 2021 as clients embraced our data led advanced Analytics, AI and cloud solutions. Compared to the second quarter of 2021, revenue was up 8.3%. Moving down the income statement. Our SG&A expenses were 19.9% of total revenue of 240 basis points year-over-year driven by investments in front end sales, marketing, capability development, higher compensation and COVID-related expenses for health and safety of our employees. Our adjusted operating margin for the quarter was 19.4% of 20 basis points year-over-year driven by operating leverage from higher revenue and partially offset by higher SG&A expenses. Our adjusted operating margin was up 150 basis points from the second quarter of 2021. Our adjusted EPS for the quarter was $1.30 of 25% dollar year-over-year on a reported basis. Now moving to our 9-month performance. Our revenue was $826.8 million, up 15.7% year-over-year. This growth was broad-based across all our segments with operations management up 9.9% and Analytics of 25.5%. Our year-to-date adjusted operating margin is 19.2%, an increase of 460 basis points over the prior year. Adjusted EPS for the first nine months of 2021 is $3.62, up 51.5% year-over-year on a reported basis. In the first three quarters of the year, we generated cash flow from operations of $113.8 million compared to $126.3 million in the same period last year, driven by high receivables and incremental income and withholding tax payments. EXLs balance sheet continues to remain strong with a focus on liquidity, flexibility and strong cash flow from operations. Our cash and short-term investments at September 30th was $284 million, while our bank debt was $185 million for a net cash position of $99 million. During the third quarter, we settled our 3.5% convertible senior notes with an aggregate value of $150 million due in 2000 and $2400 million in cash, and approximately 310,000 shares of common stock. We are generating significant cash flow to invest in new digital and cloud solutions and has sufficient capital for acquisitions and our share repurchase program. During the first 3 quarters of 2021, we repurchased 845,000 shares at an average price of $99 per share, totaling $83.6. In addition today, we announced a new repurchase authorization for $300 million effective January 1, 2022. Now turning to guidance, we have increased both top and bottom line guidance for 2021 based on our strong year-to-date performance and visibility into the fourth quarter. Our guidance is based on our current flexible work models with more than 90% of our employees working remotely for the remainder of the year. We are increasing our revenue guidance for 2021 to be in the range of $1.11 billion to $1.12 billion, up $25 million at the midpoint. This represents a year-over-year growth rate of 16% to 17% on a reported basis and 15% to 16% on a constant currency basis. In 2021, we expect Analytics to grow in the mid 20% range and operations management to grow approximately 10%. For the fourth quarter, we expect the revenue to be comparable to Q3 due to lower volumes in ops management including health care as mentioned earlier. We expect our adjusted EPS to be in the range of $4.70 to $4.80 up 33% to 36% driven by increased revenue in 2021. Adjusted EPS is expected to decline in Q4 from Q3 due to advanced hiring for future growth, higher sales and marketing expenses, increased investments in technology and higher compensation in select areas. We expect a foreign exchange gain between $3 and $4 million, net interest expense of $0.5 million to $1 million and our effective tax rate to be in the range of 23% to 24%. In terms of capital allocation, we continue to invest in analytics, AI, digital solutions and technology. We expect capital expenditures to be in the range of $35 to $40 million. In conclusion, the first three quarters have been strong with a double-digit revenue growth of 16.5% and adjusted EPS, increasing by 51% over 2020. Our success is attributable to strong demand for our services, outstanding delivery despite challenges faced by the pandemic and a keen focus on fixed and variable costs which has driven margins higher. We expect a strong finish to the year and looking at 2022, we have solid revenue momentum across all our business segments and we expect much of our margin gains to be sustainable with a hybrid working model. Now, Rohit and I will be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Maggie Nolan from William Blair. Your line is open.
Maggie Nolan: Congrats on the results. I wanted to ask a little bit more about the Healthcare segment within Ops Management. Could you go into maybe what your expectations are for kind of the medium-term performance of that segment?
Rohit Kapoor: Yes, thanks. Maggie, there is nothing unusual going on in the Healthcare segment. From time to time, we do have a transition of the clients that might take place where they might be in-sourcing of work. So, we have a particular situation of the Healthcare business in Ops Management is fundamentally sound. It is growing very nicely. We are seeing strong traction amongst the payers, but also amongst will providers where we've started to now serve the provider group book in a fairly active way and the other part is as healthcare embraces data driven solutions, digital interventions adopts a much more end-to-end comprehensive digital transformation. While the operating business model, we think we will be able to serve clients in that industry model, really, really well. Keep in mind that the healthcare industry is a little bit behind in terms of the adoption of new technologies as compared to some of the other industry verticals and therefore the headroom for us to be able to continue to sell plans in that vertical are huge. The industry itself is very large and therefore - and of course it is pretty much recession-proof, so it's something which we think is a large market space where our capabilities and our solutions can be really helpful. And we are excited about the potential for us to serve and grow clients in that vertical.
Maggie Nolan: And then thinking about the margin profile of the company. Obviously, you've seen some structural pickup in the margins, do you think you can kind of continue to operate it at above that - at or above that kind of 38% gross margin. And if you do is even like 17% adjusted operating margin an easy target or kind of a low target at this point.
Maurizio Nicolelli: Thanks, Maggie for the question. When we look at margins - look - when we went to Investor Day back in November of 2020, we talked about building margins between 16% and 17% in 2022. This year we've done very well with margins in this remote hybrid model that we're all working it, but we've made some significant improvement that is permanent, really going forward. If you look at our headcount over the last 12 months, it is lower on a year-over-year basis than our revenue growth, pretty significantly and that's us just becoming much more efficient. So there is embedded benefit in our margins going forward. So with that guidance that we gave back in - at Investor Day, we're trending towards the higher end of that guidance really going forward.
Operator: Next we have Bryan Bergin from Cowen. Your line is open.
Bryan Bergin: Thank you. Maurizio, I just wanted to follow up on that in my gross margin question, you just said, there are some lasting changes here. It seems like you've got good tailwind for this to continue easily into the early part of next year, is there any reason, you're going to have significant travel costs coming back in the short term? Just trying to frame because it seems like you get outperform even the high end of this 17% right now?
Maurizio Nicolelli: Hi, Brian. So when you think about some of the cost going back into our P&L, we will start to travel a little bit more, most likely in 2022. We all think that it won't be at the level that we were pre-pandemic but we will have some additional cost coming in from the return from office in this new environment that we work in. We'll still have a portion of our employees working from home, but we will start to go back to the office in 2022 and we're also going to start hiring also to really drive growth in 2022 and 2023. Having said all that, right now, we've given guidance from Investor Day going forward and we're trending towards the higher end of that - of those margins going forward. And we'll update that in February of - most likely will updated in February of 2022 really for the upcoming calendar year. But right now, you are correct, correct. And that is very solid momentum on margins and we are trending towards the higher end of that guidance and also above that.
Bryan Bergin: Okay, I appreciate that. And then just on the emerging segment within Ops Management. Can you - can you dig in a bit more there? Is that a travel recovery or is it more broad-based across all the varying sub-segments within that? And can you just comment is the expansions at existing clients or is it also new local additions there?
Rohit Kapoor: Sure, Bryan. Our emerging segment has actually seen broad based growth across industry verticals. The Travel segment for us is a very small portion of our revenue within the emerging business and that has certainly increased, but it has very little impact because the size is much smaller. What we are seeing is a tremendous amount of improvement in verticals like banking and financial services and transportation and logistics and travel certainly has improved and across our utilities as well. In terms of existing clients expansion and new clients, we're really, really pleased with our existing clients, expanding the scope of work with us, but at the same time we're signing up a number of new clients in the emerging. So frankly, it's a very healthy broad-based growth that we're seeing in the emerging business and that provides us great confidence as we step into '22.
Operator: Next up, we have David Koning from Baird. Your line is open, sir.
David Koning: I guess first of all just, when I look at Q4 sequential guidance - kind of flattish - kind of up I think up $5 to down $5 million sequentially, give or take. Normally, that's up a lot sequentially. You kind of talked a little bit, was there something a little inflated in Q3 that falls off a bit in Q4 thanks.
Rohit Kapoor: Hi, thanks for your comments. As Maurizio kind of shared in his prepared remarks, we expect Q4 to be flattish to Q3, because of the client that we spoke about in the Healthcare segment. And so that's something, which - is something, which we are anticipating. But there is nothing unusual in Q3 in terms of our revenues. We think we've got strong growth momentum both in operations management and analytics and but that likely continues going forward. However, because of this client transition that is taking place, there will be an offset and that's what we are factoring in our guidance.
David Koning: And then in the Analytics segment. I mean you talked kind of about how some of this post-pandemic work. It's just coming on, and I mean you're growing way faster than the normal is like, is there some - is there any non-recurring business in there or is this really something that it's just at a higher level and continued to grow at this kind of elevated pace or does or does it come back to mid-teens?
Rohit Kapoor: Sure. So you're absolutely right. The focus on data, the focus on data analytics has certainly shifted into high gear with the pandemic and the demand environment has become very, very rich and very, very attractive for us and I think our capability sets are ready resonating very well in the marketplace. We don't think that the emphasis on data is going to drop down, we think it's going to continue to be there. We know that data ends up being the differentiator between success and mediocrity, and we think our clients are going to continue to embrace data - that strategy is going forward and we should be in a great position to be able to help them as we step forward. At the same time, you also know that our Analytics business always has above a third of its business which is project-based. Two-thirds of our Analytics business is annuity based and therefore revenue streams, continue to develop nicely. But we always will carry about a third of that business which is project base - that project-based revenue is subject to discretionary decisions on the behalf of our clients and therefore there will always be some level of volatility associated with that. But we feel confident about the growth of the Analytics business which we share in our Investor Day in November 2020 as Maurizio said - that is something which we are very confident.
Operator: Next, up we have Vincent Colicchio from Barrington Research. Your line is open.
Vincent Colicchio: Yes, sure that I'm curious as wage inflation gotten significantly worse since last quarter and I think last quarter you talked about using some equity to retain people - curious if you're doing any of that?
Rohit Kapoor: Yes, Vincent. Certainly, wage inflation is a risk of that that we need to manage and to be able to navigate. What we are seeing is that wage inflation is particularly strong in a few areas of our business, but not across the entire business altogether. So in areas around data analytics and digital - certainly there is higher level of wage inflation and we are trying to manage that. As we discussed last quarter, our focus really is to be able to retain and grow our top talent. And we do that through a combination of providing them with a very rich environment where they can learn, grow their professional capabilities, be able to advance their careers and manage a greater and a bigger piece of business, get the right compensation, and then as you get more senior in the organization, be able to participate more actively in the equity component, which is a strong retention tool for us and as our stock continues to remain - Orange that's something which does provide a huge retentive value to our employees. So I think it's really a continuation of our strategy, all focusing in on those areas where we need to be competitive from a compensation perspective and making sure that we provide a holistic experience for our employees that is focusing on the work environment, the work itself, compensation, benefits and the team that is there. So that's something that seems to be playing nicely and ratio.
Vincent Colicchio: Could you give us - remind us what you've done on the real estate footprint and if that's a significant opportunity going forward in terms of reduction?
Maurizio Nicolelli: Thanks, Vincent for the question. On the real estate side, we have started to review - we have been reviewing I should say all of our real estate footprint around the world. We've started to become more efficient on real estate in the last 12 months and we have plans to optimize of real estate going forward, in our 2022 budget. We will continue to look - at real estate, it is an opportunity for us going forward. We're starting to get finalization, just on our work from - work from home or hybrid model for the future working environment going forward. But it does remain a potential opportunity going forward. But again, we will start to incurred costs going forward as we start to open up offices. So that will be a little bit of an offset for us to take a little bit of benefit in 2022 but you're correct. We continue to look at, real estate and areas that we can optimize and we'll do so over the next 12 to 24 months as leases come up.
Operator: [Operator Instructions] Your next question comes from the line of Puneet Jain from JPMorgan. Your line is open.
Puneet Jain: Thanks for taking my question and good quarters. Rohit, can you talk about supply environment for analytics, EXL has always had premium talent in that practice. But as demand in data and digital picks up and your needs also increase in Analytics, are you able to hire enough people to service demand or do you - are you also resorting to training internally to service analytics demand?
Steve Barlow: Thanks, Puneet. So far, our Analytics business investing in talent, has been a strategy that we have been investing in for at least the last decade and we have two part strategy in terms of managing the talent in the analytics. One is we have a very strong campus recruitment program where we hire from the senior engineering and management institutes in India, in the U.S., and these programs are now sufficiently mature, well developed, where our brand as well as named recognition are right on the top, so we are able to attract sufficient volume, the people as well as the right quality of talent from these programs. The second part of our talent development program is really about grooming talent internally within EXL and providing them to the inputs necessary to take on more complex work and more advanced analytics capabilities. That program continues to run very well, and it's a combination both of training input that we provide as well as use case experience, which our employees get when they work on client engagements. Again given the size and scale off our team in analytics that is something, which we believe we have one of the strongest capabilities of developing internal talent. And therefore, that continues to work very growth. So the supply side of talent for data analytics is definitely a challenge, but at this point of time, we are able to attract, retain and develop adequate numbers of people to be able to support that business. So we feel good about where we are from a talent perspective got you.
Puneet Jain: And the healthcare client - you talked about - can you size the impact you expect - will all of that hit in Q4 or could there be subsequent impact next year as well on a sequential basis. And also I know you've talked, mentioned that it happens - it's not unusual for clients to in-source, but was there any specific reason that they chose to go back, perhaps at this time?
Rohit Kapoor: No, Puneet. There is nothing there. So like we discussed that sometimes clients will shift work from partner to their captive operation and that's what's happening here. It's not significant for us to be able to call out very separately and provide detail on the quantitative aspects of it, it's something which just settle down and we don't really expect anything further to go beyond the 2021 as far as the transition is concerned.
Operator: Next, up we have David Grossman from Stifel. Your line is open, sir.
David Grossman: I guess the first thing I just wanted to ask is about the bookings. I know you don't disclose bookings - or quantify them. But perhaps you could provide some qualitative color on net new bookings year-to-date - on a year-over-year basis or even comment on the backlog and how that's been trending as well?
Rohit Kapoor: Sure, David. So I think the demand pipeline for us is up very, very strong and it's strong both in Operations Management and in Analytics. Looking at the numbers, the Operations Management pipeline has gone up very meaningfully. So it's gone up close to about 50% over the last two years or so. The Analytics pipeline has actually more than more than doubled in terms of size. So that's something which is very, very strong as well. I think the other part that seems to be happening is that the sales cycle is shortening and that's something which is helpful for us to be able to grow our business much more rapidly, and the deal sizes are medium to large size deals. So that's again very chunky and very significant. From a bookings perspective, we don't really share any data pertaining to the bookings. So it's difficult to kind of our talk about it, particularly when it comes to transaction based pricing and outcome based pricing. All of these are of course driven off delivering the output for the customer, so it's very difficult to measure that or to provide any kind of color on that. The other part is the pipeline is strong across all the vertical. So across Insurance, Healthcare, emerging, analytics - it's very broad-based and strong across. So we are very pleased with the quality of the pipeline as well.
David Grossman: Thank you. Just a follow-up question is really, and I think we're probably going to ask a question I was asked earlier, but in a slightly different way, and it's about the margins, should just curious whether - how you view the structural impact of the hybrid work model - this industry historically is pretty quickly price efficiencies that could pass-through, and I'm just wondering how you feel about the hybrid work model and the benefits and how enduring if you will, those benefits may be?
Maurizio Nicolelli: When we look at the benefits from the hybrid work model, I think - we think of it a little bit as there is benefits, but there is also related cost to it. When you look at the benefits. Obviously, if you've got a significant portion of your workforce working from home, you're going to be able to optimize a number of different costs going forward. And we've talked about that meeting - you can optimize to a certain extent, real estate - you can optimize comes from your transportation costs in a few other kinds of costs that are more office related, but on the flip side, we are spending a good amount of money on technology costs to really protect - to create that work from home environment that's well protected in terms of data security and just overall ensuring that - that work environment is very similar in terms of security to being in the office. So when you look at the benefit versus the cost really going forward, there's a little bit of trade off there that we're factoring in really going forward and we have been investing in technology and we'll continue to do so going into 2022. So that's a bit of an offset to those benefits from the new environment that we're working.
Rohit Kapoor: Yes, Dave. I'll just add a little bit to what Maurizio had said - when you think about margins from our perspective, there were three broad categories where we would see a significant movement on margins. One is operational efficiency. On operational efficiency, we had signaled a couple of years back, but that is something that we would tighten up and we put to manage our business in a much more disciplined manner. And that is something that we have consciously and deliberately done and that is something, which we believe will be sustainable going forward. The second is really pertaining to COVID and work from home that like Maurizio articulated, there are puts and takes to it and but it does shift around, there are some costs that will come back in '22, particularly around travel, around working from the office in a much more significant manner and those costs will offset some of the other changes that that are there. And the third part is probably more fundamental. And that's the business mix. From a business mix perspective, as we continue to do more work around digital, more work around data analytics, where we are delivering greater value to the customer, we think we should be able to improve our margins on the basis of the value that we're delivering to our customers and that's probably a longer-term secular trend that we would need to make sure that we can execute upon, but I hope that provides you with some perspective on the three broad buckets of our margin contribution.
David Grossman: So just on that third point about mix. Should we use the data analytics business as a proxy for that mix or is it really blended both through OEM and analytics.
Rohit Kapoor: Yes, so the Analytics business is certainly one part of the proxy, but most of the digital work that we're doing is all being embedded and infused into operations management. And as that business becomes a lot more outcome driven business, as well as our a digitally infused business, I think you are going see changes take place in that margin structure.
Operator: Thank you. That's our last question for today. Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.